Operator: Good morning, ladies and gentlemen and welcome to Lifetime Brands First Quarter 2023 Earnings Conference Call. At this time, I would like to inform all participants that their lines will be on a listen-only mode. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] I would now like to introduce your host for today’s conference, Andrew Squire. Mr. Squire, you may begin.
Andrew Squire: Thank you. Good morning and thank you for joining Lifetime Brands' first quarter 2023 earnings call. With us today from management are Rob Kay, Chief Executive Officer and Larry Winoker, Chief Financial Officer. Before we begin the call, I’d like to remind you that our remarks this morning may contain forward-looking statements that relate to the future performance of the company and these statements are intended to qualify for the Safe Harbor protection from liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance and factors that could influence our results are highlighted in today’s press release and others are contained in our filings with the Securities and Exchange Commission. Such statements are based upon information available to the company as of the date hereof and are subject to change for future developments. Except as required by law, the company does not undertake any obligation to update such statements. Our remarks this morning and in today’s press release also contained non-GAAP financial measures within the meaning of Regulation G promulgated by the Securities and Exchange Commission. Included in such release is a reconciliation of these non-GAAP financial measures to the comparable financial measures calculated in accordance with GAAP. With that introduction, I’d like to turn the call over to Rob Kay. Please go ahead, Rob.
Rob Kay: Thank you. Good morning, everyone and thank you for joining us today. In line with our expectations, our results for the first quarter 2023 continue to be impacted by a combination of macroeconomic and industry-specific challenges that remain in factor facing the consumer durables industry. It is important to note that our market shares have remained stable, and in fact, we have slightly gained share in our largest categories. including kitchenware, kitchen measurement, and bath scales, and in terms of absolute dollars in food storage. While we expect industry headwinds to remain, we will continue to take actions to best position ourselves during this period of economic uncertainty. As we will discuss further today, we continue to successfully navigate the economic and industry-specific challenges through a wide array of actions, including balance sheet management, disciplined control of our cost structure, a disciplined and choiceful pursuit of investment opportunities such as our foodservice initiative and Year & Day, and a major restructuring of our international operations. These actions will yield short-term benefits, but more importantly, positions Lifetime favorably for long-term growth and improved profitability. In the first quarter, we delivered $145.4 million in net sales compared to $182.7 million in the same period last year. Over the last 12 months, we have generated adjusted EBITDA of $50.8 million. As discussed, these results were driven by the ongoing macro and industry challenges, including the continued impact of reduced ordering from our largest customers due to inventory rebalancing by retailers. However, Lifetime once again performed well in comparison to the market and our industry peers. Let me now turn to our core U.S. business. As we discussed on our fourth quarter call, retailers across channels continue to evaluate their inventory and distribution strategies with a focus on rebalancing stock levels from ordering patterns that were altered by the recent global supply chain crisis. Further, in response to current economic pressures, many of our largest retailers have been reducing stock levels and in some cases, pause orders completely in the first quarter, leading to softer shipments of products to our customers. It's important to note, that this slowdown has been felt across the industry and is not unique to Lifetime. In recent weeks, we began to see an increase in demand, with a pickup in order flow from many of our customers, and we remain optimistic that purchasing levels will normalize in the coming quarters. While this trend related to customer inventory levels is encouraging, we believe that the general economic environment will continue to remain unfavorable and consumer spending will continue to be challenged, due to inflationary and recessionary pressures in many of our end-markets. We have also maintained a focus on profitability and not volume, which can be seen in our gross margin percentage, which has improved despite pricing pressures that exist among retailers in response to the normalization of supply chain costs this year. While we have not seen any retail price reductions, as wholesale unit prices have declined, we would expect this to have a positive impact on point of sale once these price reductions get passed along to consumers. Now turning to our international business, our international business stabilized in the first quarter, driven by the impact on the restructuring of our Europe-based international operations that we completed at the end of 2022, and which has had an immediate and positive impact on our bottom-line. Consistent with our international strategy, we continue to solidify our international positioning which was driven by the benefit of our direct go-to-market strategy and the rollout of KitchenAid to more markets and implementing our new go-to-market strategy in Australia and New Zealand. Starting with KitchenAid, as a reminder, we expanded KitchenAid to international markets by 2021 and focused on building out distribution throughout last year. We have seen tremendous consumer enthusiasm for KitchenAid products whenever we have introduced the brand internationally. And as a result, we are gaining incremental distribution channels to sell more KitchenAid products to a wider array of retailers in Europe, many of whom have already begun ordering fronts. We believe that this addition to our international product offering, were served as a catalyst to increase our distribution among major retailers in Europe and other international markets. In Asia Pacific, which is our second largest international region behind Europe, we are seeing immediate benefits from the changes we have made to our go-to-market strategy in Australia and New Zealand. Consistent with our direct selling go-to-market strategy that we are implementing across most major markets, by eliminating third-parties who only sold a limited assortment, we are now able to sell all of our products and add an increased margin. We expect it to have a positive impact on sales in the back half of the year with even more opportunities to increase sales in 2024. To an even greater degree than in our core US business, we expect macroeconomic factors to continue to impact our international business, most notably in the UK. We believe the actions we have taken to restructure our European operations, expand our offerings and revamp our Asia Pacific go-to-market strategy. We'll position the business well for long-term growth, show a favorable improvement in contribution margin in 2023 and become profitable in 2024. Given the continued significantly depressed consumer environment in Europe, we don't anticipate seeing a significant impact to the top line until 2024. While the environment remains challenging, I'd like to now touch on a few areas of the business where we do anticipate growth in the near-term. The first is our foodservice business, which consists of cost hospitality for front-of-the-house products and tailored small wares used in professional kitchens. These end markets have been relatively unimpaired by macroeconomic trends. Our foodservice business continues to gain traction and Macassa hospitality is now recognized as a player in the industry and no longer are considered a startup brand. We expect foodservice to reach nearly $30 million in revenues by the end of 2023. And we continue to see this as a potential $60 million business by 2026. We remain excited about the long-term potential of our expansion into commercial foodservice because of the consistent recurring revenue characteristics of the business. We are also building the momentum in year-end date, which we will soon be expanding into the wholesale channel, which we view as critical to digitally native brands in response to the change in acquisition cost of customers driven by algorithmic and IO changes that have materially impacted e-commerce sites over the past 1.5 years. With this initiative, combined with our investments, we expect year-on-day sales to grow more than 90% year-over-year. In e-commerce, our direct-to-consumer sites have performed well and grew 18.6% year-over-year. Our model has proven successful and we have maintained a positive contribution margin since 2021. While our total e-commerce business was relatively flat at 18.7% of sales, the overall e-commerce business is down 22.6% in dollars compared to 2022. As a result of Amazon, our largest pure-play e-commerce customer pausing purchasing in the quarter. Again, this trend concerning Amazon shipments is not unique to Lifetime as impacting most vendors who sell products on Amazon. I would like to inform everyone of some steps we have taken as part of our strategy to diversify our supply chain and reduce exposure to China. We are in the process of acquiring manufacturing operations, which does business as a maquiladora under the IMMEX program in Mexico. This acquisition will allow Lifetime to manufacture some of our plastic loaded kitchenware products in Mexico and import them to the US duty-free. We closed this transaction on May 3, and it is our expectation that the facility will be fully online in 2023, enabling us to begin a process by which a greater volume of products are either made or sourced in Mexico. As we continue navigating these uncertain times, we remain focused on executing on our growth initiatives and removing inefficiencies and costs from the business. To that end, we are starting to see the benefits of our UK restructuring, which we expect to generate $2.3 million of cost savings by the end of the year. We have also eliminated several senior management positions in our corporate structure, generating savings of $1.3 million. Looking ahead, we are taking a phased approach to the rest of the business, and expect to eliminate another $1.5 million of costs during the second quarter. And we have also developed additional levers we can pull as the year progresses. We expect these actions to have an immediate impact on our bottom line and also favorably position the company for 2024. On that note, let me now turn to our financial guidance. We issued our full year guidance for 2023 in our press release this morning. To recap, we expect the top and bottom line to be down in 2023, driven by the assumption that lower end market demand will persist throughout the year as a result of inflation dampening the markets, continued stress on the consumer and the recessionary environment, both internationally and in the US. Again, these issues are not unique to Lifetime and we are confident in the resilience of our business model and the actions we are taking to position ourselves for growth next year. I also wanted to point out that we have written off all exposure to Bed Bath & Beyond, which was nearly all related to private label Dinnerware. This was a charge of approximately $1.5 million in the first quarter related to our open accounts receivable balance, and our 2023 guidance assumes no sales to Bed Bath & Beyond. Before I turn the call over to Larry, I want to touch on our balance sheet. At the end of last quarter, we were at our highest level of liquidity in our history, and we increased that by $5 million in the first quarter of 2023. Larry will speak more about our balance sheet and liquidity as well. Given the strength of our balance sheet, we continue to evaluate value-enhancing opportunities, including M&A as a potential avenue for accretive growth. However, given the current economic environment, we expect to focus more on deleveraging in the near term and look conservative with how we deploy capital. But as always, we will be prudent and opportunistic should the right transaction arise and take actions that we believe to be in the best interest of our shareholders. Once again, our business model has proved resilient, and the strategic actions we have taken have positioned us well to grow in 2024. Our position in the markets we serve remain strong, and recent data from Circana for our formerly NPD validates this. A Lifetime 2.0 transformation, which we began in 2018, has created a solid foundation for the company to weather difficult economic environments, such as the one we are in now. Our efforts to produce a leading portfolio of strong recognizable brands with multi-channel growth opportunities develop opportunities in adjacent durables categories to provide us with above end market growth rates. Build a best-in-class innovation engine to strategically drive growth, implement a more focused and efficient global platform with scale, and enhanced operational effectiveness. And generate strong cash flow to enable financial flexibility have positioned the company well for the future. We are confident that, the tremendous progress we have made over the past several years to transform the business will enable us to achieve our long-term goals as we effectively manage through current and future challenges. Our entire team remains laser-focused on executing on our objectives, and I am thankful for their continued efforts and hard work. With that, I'll now turn the call over to Larry.
Larry Winoker: Thanks, Rob. As we reported this morning, our net loss for the first quarter of 2023 was $8.8 million or $0.41 per diluted share compared to net income of $400,000 in or $0.02 per diluted share in the first quarter of 2022. Adjusted net loss was $2.6 million for the first quarter of $23 million or $0.12 per diluted share as compared to adjusted net income of $4.1 million or $0.18 per diluted share last year. Loss from operations was $1.8 million in the first quarter of $23 million as compared to income from operations of $4.4 million last year. Adjusted net income -- adjusted income from operations for the first quarter of 2023 was $3.4 million compared to $10.2 million last year. Adjusted EBITDA for the trailing 12-month period ended March 31, 2023, was $50.8 million before our limitations. Beginning the first quarter of 2023, for all periods presented our adjusted net income or loss and adjusted income from operations excludes acquisition intangible amortization. We believe this presentation provides useful information to stakeholders, regarding financial results and trends and provides additional perspective regarding the impact of the amortization expense on applicable income and earnings per share measures. Adjusted net income or loss, adjusted income from operations and adjusted EBITDA or non-GAAP financial measures and are reconciled to our GAAP financial measures in the earnings release. Following comments for the first quarter of 2023 versus 2022, unless stated otherwise. Consolidated sales declined by 20.4% from 2022. As Rob discussed, macroeconomic and industry-specific challenges negatively affected the consumer durable industry. The US segment sales decreased by 19.7% to $133.5 million. The decrease occurred in all product categories. This was attributable to slowing replenishment orders as retailers reduced their safety stock and weeks of supply on hand. In addition, consumer spending reduction has reduced the overall market size, which exacerbated the decline in retailers ordering. International segment sales were down by 28% to $11.9 million, but 18% on a constant US dollar basis. The decrease was driven by similar factors noted for the US. Consolidated gross margin percentage increased 37% from 34.5%. For the US segment, gross margin increased to 36.6% from 34.7%. The improvement was due to lower inbound freight costs and favorable product mix. For international, gross margin increased to 42% from $32.7 million. The improvement reflected higher selling prices implemented in late 2022, lower inbound freight costs, also lower duty on goods from EU customers now imported to our UK distribution facility in the Netherlands rather than the UK and the benefit of foreign exchange hedging gains. For the US distribution expense, as some sections of goods shipped from its warehouses were 10.5% versus 9.9% last year. The increase was driven by lower shipment volume, resulting in under absorption of fixed expenses, higher inventory storage costs and higher real estate taxes. This increase was partially offset by a decrease in talent and other warehouse supply expenses. For International, distribution expenses as a percentage of the shipped from its warehouses were 24% versus 21.7% last year. The increase was due to lower shipment volume, partially offset by lower cost of shipments to EU customers, which are now shipped from the Netherlands. Selling, general and administrative expenses declined to $37.9 million in 2023 from $9.5 million last year. US segment expenses increased by $800,000 to $29.3 million due to the higher allowance of doubtful accounts related to Bed Bath & Beyond, partially offset by integration costs for Swell that were incurred in the prior year. For international, SG&A expenses decreased by $1.5 million to $3.6 million on lower foreign currency exchange losses and lower employee expenses. The reduction in employee expenses was a result of the restructuring actions implemented in the fourth quarter of last year. Unallocated corporate expenses decreased by $900,000 to $5 million on lower stock compensation expenses, legal and professional fees and reduced salary for our Executive Chairman during his transition and claiming contract period, which ended on March 31. In the 2023 period, we recorded $800,000 for restructuring expense related to a contract termination payment for executive Chairman, pursuant to the transition deployment period. Interest expense increased by $1.5 million, due to a higher SOFR [ph] base rate on our variable rate debt. For taxes in the first quarter, the income tax benefit rate of 18% differs from the federal statutory rate of 21%, primarily due to state and local tax expense, the impact of nondeductible expenses and foreign losses for which no tax benefit is recognized. Related to Grupo Vasconia, our 24% owned investee [ph], the company recorded a loss of $700,000 and the '23 period versus $400,000 last year versus earnings of $400,000 last year. aSconia's results were negatively affected by its aluminum business. In the first quarter, we also recorded a non-cash impairment charge of $2.1 million to write-down our investment in Vasconia. This charge is prompted by a decline in its public trading price below our carry value. The carry value of the company's investment after the recorded impairment is $10.4 million. And looking at our debt liquidity, notwithstanding the current challenges, I'm pleased to report our liquidity released an all-time high of approximately $205 million at March 31. This is comprised of $41 million of cash and cash equivalents plus availability under our credit facility and receivable purchase agreement. In this difficult and uncertain business climate, we are especially focused on continuing to maintain a strong liquidity position and take appropriate action to generate positive cash flow. Our primary capital allocation priorities are to support our current businesses and delever our balance sheet. At quarter end, our net debt was $225.5 million and leverage ratio was 4.4 times. As reported in the release this morning, we are issuing financial guidance for the full year of 2023 as follows: net sales of $660 million to $720 million; adjusted income from operations of $41.5 million to $46.5 million; adjusted net income of $12.5 million to $15 million; and adjusted EBITDA of $50 million to $55 million. This concludes our prepared comments. Operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Linda Bolton-Weiser with D.A. Davidson. Please proceed with your question.
Linda Bolton-Weiser: Yes. Hi. So I have several questions. First, you mentioned in the beginning of your remarks that something about wholesale unit price declines, so I wasn't quite understanding that. Are you talking about rolling back some of the pricing pieces you made previously, or are you talking about promotions or mix, or what were you referring to there?
Larry Winoker: Yes. The prices of goods that we're selling to the retailers we lowered. So you could call it rollbacks of the increased prices that were passed through when the supply chain costs were very, very high. So as the lowered retailers were looking for those money. And to-date, those have not been passed through to the consumer. We do expect that to ultimately happen, which would lower retail prices, which should benefit the end market demand.
Linda Bolton-Weiser: So just to be clear, you're saying the previous price increases were never passed through, so now you're giving back the price to the retailer because they never pass it through. Is that fair?
Larry Winoker: Tactically, no. We didn't give back the increases we talk, but that's what it's related to. So we did pass through increases as was discussed during the supply chain crisis. In this environment, as the particularly ocean freight costs are way down, and retailers are aware of that, they've been looking to get price discounts to the products they buy as a result, and we -- it's a negotiation. So we have passed through already those price decreases. Did I answer that.
Linda Bolton-Weiser: Yes, yes, you did. But I guess, some of the other companies I follow, yes, like freight and even plastic resin is down a lot, but companies are talking about other costs still being quite escalated, other cost inflation components. So they haven't -- some companies are actually still taking price increases. So I guess I'm a little surprised about what you are saying
Rob Kay: Yes. I mean there's a lot of plus and mines. But as you see, even with these price increases, our overall margin is up. So we're getting the benefit we're not passing through everything, but ocean freight is down, and that's what they're really looking for compensation for not just from us, from everyone in our industry according to the -- like we were recently at the Board of the IHA, which is most of the people in the industry, and everyone is saying the same thing. So this is what we're seeing in consumer durables. And it's not like it. It's select, but there have been reductions which are already in our numbers that we've given to retailers. I'm not sure what your other people are telling you, but the people we're competing against in our categories are doing the same thing to our knowledge.
Linda Bolton-Weiser: Okay. All right. So just a couple of real quick ones. How much in revenue in 2022 did you have to Bed Bath and beyond?
Larry Winoker: It about 1% of our business, maybe $7 million.
Linda Bolton-Weiser: Okay. And then on the Mexican manufacturing, that sounds like a good thing. When will those products be ready to be started shipping into the US? And when would we see some maybe margin improvement related to it -- and what categories is that manufacturing going to be in?
Rob Kay: So it's all in Kitchenware. It's not a very big facility and our main goal in this transaction is twofold. It's to establish a beachhead in Mexico and once we're physically with the presence there as a manufacturer, it will greatly facilitate our ability to source effectively there in addition to manufacturing our own products. And this is related to a strategy we've been working on to derisk our dependence upon China and derisk the political risk and the interruption risk, should there be conflict between the US and China or should that escalate, I should say. So in terms of margin enhancement, we're not counting on that today, particularly in an environment where ocean freight rates now are almost at store close quite the opposite. It's boomerang and that will normalize. It can't remain this low. So, our goal is to basically remain neutral. We do eliminate the manufacturing margin, right, because it's not a third-party manufacturer there. And we just closed on the transaction. We have to ramp up production, and that will ramp up throughout 2023 and be at full capacity towards the end of the year.
Linda Bolton-Weiser: Okay. And then -- the Year & Day, you said that would be a really big increase in revenue as you go wholesale. What would be the base of sales? Like is it like just a few million dollars? Like how big is that?
Rob Kay: Yes. It's such a big increase percentage was 90% because we are getting traction, but also on a very low base, right? So, still very low single-digits. But I think it's important we're trying to make there is digitally native brand need to go wholesale. That's what we're good at. So we're taking them wholesale. It's a good opportunity. We're getting good feedback and direction to -- it was an incubation investment and we're showing you the path to get it to positive contribution.
Linda Bolton-Weiser: Okay. And then my last question is just a clarification on the cost savings. You had mentioned a couple of things, $2.3 million, is that the total cost savings? And then you mentioned a couple of other things, those other things included -- yes?
Rob Kay: Those were all individual, which would be added together. I think I mentioned three in particular, the UK, the corporate position elimination, and then the third bucket is just -- that's just out of the US business cost spend that we're eliminating. So, those are three different pockets
Linda Bolton-Weiser: Yes. So, it's like $5 million roughly?
Rob Kay: Roughly, yes. 
Linda Bolton-Weiser: Okay. Okay. That's it for me. Thank you, and good luck with everything.
Rob Kay: Thanks Linda.
Operator: Our next question comes from the line of Brian McNamara with Canaccord Genuity. Please proceed with your question.
Brian McNamara: Hey, thanks for taking the question guys. So, first, the midpoint of your sales guidance implies sales for the balance of the year will be roughly flat. How should we think about the cadence of sales growth for both Q2 and H2? Is Q2 another down and then we're flatlining, or any color there would be helpful.
Rob Kay: Sure. So, we would pick up momentum in the second half of the year, Q3 and Q4. So, yes, I would expect the seasonality to be similar to traditional years, last year not being in a traditional year.
Brian McNamara: Got it. And then second, I guess, your sales guidance at the midpoint is both below 2019 and 2018 levels. 2018 only included 10 months of settlement. You mentioned end market demand is lower, but is it below kind of 2018 and 2019 levels? Is that a fair way to kind of look at it?
Rob Kay: I mean, as we talked about, if you look at and not us, just the data from Circana, which is a combination of NPD and our IRI, our market share actually increased 0.25 point. So we are not expecting a pickup until 2024, driven by where the market is which is kind of flat to 2019.
Brian McNamara: Okay. Is it fair to say the current headwinds are temporary, -- like how low could retailers go with inventories? I mean is this something unprecedented for you guys? I mean you've been around a while?
Rob Kay: So just to emphasize what we were trying to say is we've seen a lot of inventory rebalancing continued in the first quarter. But what we're also seeing and which is incorporated in our guidance is recessionary and inflationary impacts, which are hurting end market demand. So we saw last year a big gap between the POS data so the sell-through and the sell-in. So our shipments did not match that, which is not a sustainable situation. That is normalizing, and we're seeing that. Amazon had it normalized, and they had a lot of capacity, and they've been very public about paring back their warehouse capacity and sites and their growth of additional warehouse capabilities. So we -- they stopped ordering for a good part of the first quarter. And we've seen that as an example, pick up, not just in the US. It is our single biggest customer in Europe where we saw the same trend and we're starting to see a pickup because ultimately, right, you need to sell goods.
Larry Winoker: Brian, let me clarify something. I don't have all the details in front of me, but your comment about sales being lower than they were in 2018. So you got to separate US and international. I suspect you can see, it's on international for two reasons because of the restructuring we did, getting out a private label, unprofitable private label in the UK. And UK, the pound has gotten crushed in terms of exchange rate versus the dollar. It's got like 118 probably back in 2018, it was a little like $140 million. This is off top of my head, but if you go drill in, I think you got to look at the US separate.
Rob Kay: The US segment has gone below 2019. And as Larry, pointed out, we walked away before we started following us. We walked away from a fair amount of unprofitable business.
Brian McNamara: I'm just trying to figure out like what's like a normalized kind of level going forward. To us, it feels like your business is so pretty depressed and like we're going to kind of jump off that depressed level at some point? Is that fair to kind of think about it that way?
Rob Kay: At some point, absolutely. The market will be back, and we will benefit significantly from that. We didn't put -- we were more conservative in our guidance that we put out for the year. When the market bounces back, if it bounces back sooner than we've incorporated in our guidance, we will benefit as others will as well.
Brian McNamara: Got it. And can you comment on in-stock levels at some of your larger customers? Are you still kind of below where you've been historically, or have you kind of caught back up relative to kind of where you were in the back half of last year?
Rob Kay: Its improved. We are a little below and also with the lots of major guys, they also cut their levels due to economic concerns, right? They cut back a bit. That's one-time, obviously, which will ultimately, when you step down to stop and shipment, but then it picks up. But our in-stocks with our major customers have -- are much closer to normal than they were last year, but not quite there.
Brian McNamara: All right. That's all for me. Thanks a lot guys. Best of luck.
Rob Kay: Thanks.
Operator: [Operator Instructions] Our next question comes from the line of Anthony Lebiedzinski with Sidoti. Please proceed with your question.
Anthony Lebiedzinski: Hey, good morning and thank you for taking the question. So firstly, a question in terms of your guidance for revenue, if we take the midpoint of the revenue guidance roughly $690 million. So that implies roughly a 5% decline from 2022. I know a small portion of that is related to Bed Bath & Beyond. But beyond that, just wanted to get a better sense as to how much of that anticipated revenue decline is because of pricing decreases or rollbacks versus unit volumes that you expect?
Rob Kay: It's substantially volume and very little price.
Anthony Lebiedzinski: Got you. Okay. All right. And then in terms of the comments about the International segment. So you said that you expect that the international segment to be profitable next year. So curious as to what's embedded in your 2023 guidance as far as how much you think that will be a drag on profitability in this fiscal year?
Rob Kay: Yes, Anthony, we're not breaking out guidance International versus US. But we have said and continue to saying that, we‘re approaching breakeven by the end of 2023, sales were down in the first quarter. So that creates a headwind.
Larry Winoker: We were on plan at the end of the first quarter, bottom line, not on the top line 
Anthony Lebiedzinski: Okay. That's helpful. Thanks, guys. As far as the Mexico initiative, that sounds certainly interesting. Can you just share with us how much you're spending on this initiative? I assume it's mostly CapEx or I'm not sure if you could just kind of talk about that as well.
A – Larry Winoker: Yes, very little, like about $0.5 million, which is we’re just acquiring the assets of a facility that we've had a long relationship with. So it's not a very big capital investment. And it definitely is a very important strategic move on our part as we continue to derisk from a dependence on the China supply chain.
Anthony Lebiedzinski: Okay. That makes a lot of sense. And then last question for me, as far as your inventory. So -- good sort of progress sequentially and on a year-over-year basis. I know you guys talked about in your release about trying to improve inventory turns. So where do you want to get to by year-end as far as either inventory turns or just overall inventory? What are your objectives there?
A – Rob Kay: Yes. I'll turn it over to Larry, but a couple of comments, Anthony, is one is, as you've seen, we've aggressively attacked our investment that we had made in inventory and reduced flat 22, continued in the first quarter. However, with our revenues slowing down a bit, that has increased our stock levels in our warehouses. Once again, -- so we're looking at how fast we want to decrease that. And said another way is -- we can decrease it faster by taking much lower margin, but also bear in mind, there's a lot of x for inventory floating around the system. We've got retailers that have gone bankrupt and the liquidator trying to sell up all of that stuff. Plus you have a lot of people that are stopped with inventory that are discounting significantly, including certain -- there's a significant -- they were, at one point, a significant housewares provider in our category called Robinson that just went to liquidation. So that stuff is -- so there's a lot of inventory flooding in the channel right now, channels, particularly the off-price and discount channels.
Anthony Lebiedzinski: Got you. Well, that's very helpful color. Thank you very much, and best of luck.
A – Rob Kay: Thanks, Anthony.
Operator: There are no further questions in the queue. I'd like to hand the call back to Rob Kay for closing remarks.
Rob Kay: Thanks, Doug. Thank you, everyone, as always, for your interest and for dialing in on today's call. We look forward to further discoursing conversation. Have a good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.